Operator: Good day, ladies and gentlemen, and welcome to the Maiden Holdings Limited First Quarter 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions). And as a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Noah Fields, Vice President of Investor Relations. Please go ahead.
Noah Fields: Good morning and thank you for joining us today for Maiden’s first quarter 2013 earnings conference call. Presenting on the call today we have Art Raschbaum, Maiden’s Chief Executive Officer; and John Marshaleck, our Chief Financial Officer. Also, in attendance is Pat Haveron, Executive Vice President. Before we begin, I would like to note that the information presented here today contains projections or other forward-looking statements regarding future events or the future financial performance of the company. These statements are based on current expectations and future events are subject to a number of risks and uncertainties that could cause actual results to differ materially from these expectations. We refer you to the documents the company files from time to time with the Securities and Exchange Commission, specifically the company’s annual report on Form 10-K and our quarterly reports on Form 10-Q. Some of our discussions about the company’s performance today will include reference to both non-GAAP financial measures and information that reconciles these measures to GAAP as well as certain operating metrics that may be found in our filings with the SEC and in our news release located on Maiden’s Investor Relations website. I will now turn the call over to Art.
Art Raschbaum: Thank you Noah, and thank you for joining us. I’m very pleased to report that Maiden’s results in the first quarter of 2013 demonstrated the continued strength of our differentiated lower-volatility business model with year-over-year improvement in revenue, underwriting results, investment earnings, operating expense relativities investable assets and net income. We reported annualized operating return on common equity of 9.8% in the first quarter of 2013, not dissimilar to the 9.9% return in the first quarter last year. Book value per share has increased to $12.10 and Maiden’s combined ratio of 97.5% has trended favorably with four-tenths of a percentage point improvement compared to the same period in 2012. Premium growth was strong in the first quarter with net premiums written increasing nearly 17% compared to the first quarter of 2012. The premium from our AmTrust Quota Share segment was the driver of this increase as our largest client experienced impressive first quarter growth. Importantly, much of AmTrust’s growth came in lines of business experiencing rate strengthening such as workers’ comp. We believe that AmTrust is very well positioned to continue to benefit from the improved pricing environment for the balance of 2013 and we also believe that their recent acquisitions are complementary to their current underwriting portfolio and should position them for continued profitable growth for the balance of the year. During the first quarter, premium from our Strategic Quota Share with ACAC, which is the former GMAC Insurance Personal Auto Insurance Company, was relatively flat compared to the first quarter of last year at $76.6 million while they focus on strengthening underwriting performance. The relatively flat revenue reflects ongoing underwriting actions that are focused on lowering the combined ratio and improving their operating margins. We believe that revenue for the balance of the year in this segment will be relatively flat. In the Diversified Reinsurance segment, which includes our US underwriting platform Maiden Re as well as both our International and Bermuda-developed business, excluding the AmTrust and ACAC Quota Shares, net premiums written were $267.6 million. That’s down 7.2% in the first quarter compared to the same quarter last year. Historically, January 1 has represented approximately 40% of our annual Diversified segment premiums. And looking at the components of our Diversified segment revenue, while our US and IIS businesses were relatively flat year-on-year, they in fact reflect progress in replacing business that was terminated last year as a result of underwriting actions and client retention decisions. The majority of the year-over-year revenue shortfall is largely attributed to Bermuda underwritten business that was terminated in 2012. In our Diversified segment, deal flow is encouraging and we’re optimistic that we can continue to grow our active client count as we did at January 1 of this year. Of course underwriting discipline is key, so we’ll continue to identify business that meets or exceeds our return hurdles. Maiden’s International Insurance Services business development unit, or IIS, continue to selectively target expansion of its auto OEM-branded customer insurance programs. While there are definitely headwinds that have been created by weak European auto sales, the team is actively developing programs and focused on expanding clients. Across the Diversified platform, we remain confident that we can growth in this segment in 2013. On a consolidated basis, underwriting margins have improved and reflect the favorable impact of 2012 underwriting actions as well as the improving primary insurer pricing environment. Starting with the Diversified Reinsurance segment, the combined ratio has improved to 97.5% from 98.9% in the first quarter of 2012. Within this segment, we’ve seen some improvement in our US treaty portfolio following a number of 2012 underwriting actions which included the non-renewal of certain accounts. Our IIS platform results reflect improved loss ratios in the German and UK auto businesses. As you may recall, our German auto business which is the largest of this portfolio experienced unprofitable performance in the late 2011 and 2012 period. Our underwriting and business development teams work with our clients – with our client to develop performance improvement initiatives and we’re really beginning to see the benefit of that effort. The AmTrust Quota Share segment combined ratio was 95.9% in the first quarter of 2013, which compares to 95.5% in the first quarter of last year. Despite the slight increase in the combined ratio, we’re still within target levels of performance and importantly the favorite pricing environment should have a beneficial impact on this segment in the future. The combined ratio from the ACAC Quota Share was 98.8% compared to 96.4% in the first quarter of 2012 and it reflects a higher than target combined ratio. While we have seen quarter-to-quarter variability in results for this segment, this quarter reflects an increase in claim cost from prior years. We’ve completed a comprehensive audit of the ACAC business in the first quarter. And based on both underwriting and claim action that are currently underway we’re confident that the combined ratio for this segment should moderate over the course of the year. While our overall results are favorable to the prior year first quarter, we continue to target a 96% combined ratio across the Maiden underwriting platform and we’re focused on further reducing that combined ratio. The key will be to maintain a disciplined approach to underwriting. We believe that the primary pricing environment in the US and in select global markets will be a continued catalyst to improving performance. But before I turn the call over to John, I wanted to provide some additional color regarding the recently announced 100% Quota Share and ultimately divestiture of Maiden Specialty’s property excess and surplus lines business. While this transaction does not have a significant impact on Maiden’s aggregate revenue, which represents about 1% of Maiden’s 2012 net premium written or the P&L, it’s important from a risk management perspective, since it reduces our exposure to catastrophic volatility. As background, this business came to Maiden as part of the GMAC RE acquisition. As part of Maiden, the E&S property book required a significantly more costly reinsurance program and significant changes in the underwriting guidelines to stay within our lower-volatility parameters, which adversely impacted the economics of this business. Exiting the E&S property insurance business will substantially reduce our retained exposure to catastrophic risk over the next 12 months, reduce our risk-based capital requirements and improve Maiden’s overall risk profile. You may recall that while Maiden’s Sandy loss was within our cat risk tolerance, the E&S portfolio made up the majority of the fourth quarter 2012 loss from this even. It’s Maiden’s objective to limit catastrophic exposure to large and frequent events to an amount substantially less than annual earnings. And with this transaction completed, we’ll be very comfortably below this threshold. While we will retain – maintain the net runoff exposure for the business written prior to May 1, we expect the overall cat exposure related to this business to decline rapidly as the owner premium and related exposure earn-out over the next 12 months. And of course, despite our strategic decision to exit this segment, we sincerely appreciate the efforts of the E&S team and we wish them well in their new endeavor. I’d like to now turn the call over to John Marshaleck, our CFO, to review the first quarter financial results in more detail. John?
John Marshaleck: Thank you and good morning. For the first quarter of 2013, net operating earnings were $21.1 million or $0.29 per diluted common share, compared with $19.4 million or $0.27 per diluted common share in the comparative quarter in 2012. Net premiums written increased 16.6% or $98.2 million to $689.1 million in the first quarter of 2013 compared to the same quarter in 2012, with the growth coming from the AmTrust segment. Net premiums earned of $488.4 million increased 11.4% or $49.9 million compared to the first quarter of 2012, reflecting growth in the net premiums written during 2012. Net investment income of $22 million increased 19.2% compared to the first quarter of 2012. Total investments increased 19.6% to $2.6 billion versus March 31, 2012. The average yield on the fixed-income portfolio, excluding cash, is 3.32% with an average duration of 3.57 years, as compared to an average yield of 3.86% in the first quarter of 2012, an average duration of 3.22 years, as of the end of the first quarter 2012. The new money rate for invested cash during the first quarter of 2013 was 2.53%, and obviously the current investment environment will challenge our ability to maintain investment income at recent levels. As Art mentioned, the combined ratio for the first quarter of 2013 totaled 97.5% compared with 97.9% in first quarter of 2012. The components of the combined ratio are as follows; loss to loss of expense ratio for the quarter was 67.8% as compared to 65% in the first quarter of 2012, an increase of 2.8 percentage points. This increase was offset by 3 percentage point decrease in the commission and acquisition expense ratio in the first quarter of 2013 as compared to the first quarter of 2012. The general and administrative expense ratio improved to 2.9% compared to 3.1% in the first quarter of 2012. The changes in the ratios largely reflect the business mix from 2012 to 2013. Total assets increased 6.7% to $4.4 billion compared to $4.1 billion at the end of 2012. Shareholders’ equity was $1.03 billion, an increase of 1.1% compared to December 31, 2012. Book value per common share was $12.10 at the end of the first quarter of 2013 or 1.2% higher than at December 31, 2012. We remain comfortable with our current capital levels and monitor our capital position frequently. If we were to determine additional capital as required, we would enhance our capital in the most shareholder-friendly way available. I will now turn the call back over to Art for some additional comments.
Art Raschbaum: Thank you, John. In terms of the primary insurer rate environment, we continue to see some variation between rates, depending upon geography and risk, but the broad trend remains favorable. In the US, we continue to see ongoing signs of improving rates for many of our customers. Across the reinsurance sector, disciplined underwriting is prevalent, though not without competition. Particularly, obviously, given the challenging investment environment, we expect that discipline will remain. We do believe that the favorable primary insurer pricing environment will ultimately benefit reinsurer experience since reinsurance rates are typically indexed to primary insurance premiums. Internationally, we’re seeing auto insurance pricing vary between 8% increases in Germany, the biggest market for our IIS business, but relatively flat in the UK. But on balance, the trend is positive across the entire portfolio. With a good first quarter behind us, we look forward to continued progress for the balance of the year, as we maintain our focus and highly-differentiated strategy of serving the non-catastrophe reinsurance needs of our regional and specialty insurer clients. Importantly, in addition to a favorable business outlook, we remain committed to improving our cost of capital, when the 14% coupon trust preferred securities call period expires in January of 2014. As our business develops for the balance of the year, we’ll have more clarity around how best to maximize our options. We believe that Maiden remains well positioned to deliver increased value to our shareholders and our customers. This concludes our prepared remarks. And operator, could you please open the lines for Q&A?
Operator: Absolutely. (Operator Instructions). And our first question is from the line of Matt Carletti of JMP Securities. Your line is open.
Matt Carletti – JMP Securities: I just had actually a question on the Brit transaction. Art, I think you mentioned at about 1% premium, so not a big number. Is there any material seasonality to that? Is it heavy Q1 or is it pretty spread across the year?
Art Raschbaum: No. Interestingly, it was reasonably spread across the year and again I mean a pretty modest effect. I think that clearly given the strength of overall revenue I don’t think it’ll have an adverse effect at all on us.
Matt Carletti – JMP Securities: Okay. And then thinking kind of tying it into your comments on the TRUPS, we know that there was a little more cat exposure there and why you ultimately decided to part with the business. Do you have an estimate of how much capital that would free up in your business by divesting that book?
Art Raschbaum: It’s a rough estimate and it depends on the capital model that you use. But our general view is that once the runoff is completed, it probably frees up $30 million to $40 million of capital.
Matt Carletti – JMP Securities: Okay. Great. Thanks very much for the answers and congrats on a nice start to the year.
Art Raschbaum: Thank you, Matt. Appreciate it.
Operator: Thank you. Our next question in queue is from Randy Binner of FBR. Your line is open.
Art Raschbaum: Morning, Randy.
Randy Binner – FBR: Good morning. Thanks. I’m going to follow-up on capital there with Matt’s question. So, that $30 million to $40 million that gets frees up, that would be freed up and kind of deployable over the course of the year? What would be the status of that $30 million to $40 million, say, in January 2014?
Art Raschbaum: The majority of it’ll be available.
Randy Binner – FBR: Okay. And so…
Art Raschbaum: That exposure kind of runs up pretty quickly, pretty steeply.
Randy Binner – FBR: Right. No. That makes sense. And so, you combined that with good operating cash flow in the quarter and so I appreciate all the comments kind of you made around the TRUPS, but I mean, it seems like you’re generating capital that frees up capital. Maybe A.M. Best wants lower operating leverage from its companies? I’m not sure if you have kind of a view on that, but is there any way at this point to kind of get a better sense of what the direction might view with the TRUPS?
Art Raschbaum: Well, I think we’ve said a few times now that, obviously, we start out with a view that we’d like to take the TRUPS out in the most efficient way possible. The best circumstance would be the takeout of existing capital. On the other hand, we’ll see how the business develops this year. Revenue growth is coming in lines of business where we feel we’ll generate good margins and so we do think that potentially with strong profitable revenue growth we may or may not be able to take the TRUPS out with existing capital. But we’ll be strengthening the earnings run rate if the reason for that is that we’re writing more profitable business. So, it’s a little early to tell kind of what we’ll actually do and that’s why I generally alluded to the point that we’ll sort of have to see how the year develops to determine the most effective way. And I think John said earlier, when we look at any capital decision, we look at kind of the most shareholder-friendly return-generating option available.
Randy Binner – FBR: All right. Understood. Thank you. And then, just one quick one on Diversified Re. In fact, I missed this in the commentary, but last quarter those Jan 1 renewals were kind of more in focus and I think that you said you had maybe like 17 or something like that new relationships. So, a lot of new relationships that were smaller than what was kind of not getting kind of quota share by folks out there. So, two questions; one, are you, did you have any more kind of renewals come through since we last talked on the conference call? And I mean, is there, are you getting the sense that now we have a harder primary market that there’s less inclination overall for folks to quota share out business?
Art Raschbaum: I’d say that balance sheets are certainly stronger for a lot of companies and so that will affect quota share demand. But as you know, we entertain both quota share and excess business and our January 1 business we referenced was excess of loss business. We definitely still see a lot of good opportunities in the pipeline. As far as the question of whether we saw a lot of incremental renewal activity, after 1/1, while we always have some accounts that flow throughout the course of the year, the period after 1/1 is not necessarily a big renewal period for us. So, we can’t really, not really much happening in that period. All we can look at is what’s deal flow in the pipeline look like and it’s pretty strong right now. So, and some of it is proportional and some of it’s excess. So, we’ll see, as you know, the ultimate objective for us, we’ll only write it if it meets our hurdle requirements. It’s not that there haven’t been quota share opportunities in the market. It’s just in some cases that we just don’t see the returns we need for the business.
Randy Binner – FBR: Understood. Thank you.
Art Raschbaum: You’re welcome. Thank you.
Operator: And our next question in queue is from Ken Billingsley of Compass Point. Your line is open.
Ken Billingsley – Compass Point: Hi. Good morning.
Art Raschbaum: Hi, Ken. Good morning
Ken Billingsley – Compass Point: Hi. Want to just follow up on some of the questions on the Diversified Re segment. You’d said that you accept to grow premiums – grow in 2013. Do you mean that it’s going to turn positive by the end of the year or actually that it will be positive for the whole year?
Art Raschbaum: Well, I think our – I guess our wish or an expectation is that opportunities that we’re seeing today will turn into business. There is no certainty in that, of course. But we are cautiously optimistic that we can full year grow the business. I think we said in the first quarter that the Diversified segment we were sort of targeting expecting about a 5% growth rate and I think we still feel reasonably comfortable about that.
Ken Billingsley – Compass Point: So, annually 5% growth year-over…
Art Raschbaum: That’s correct. Yeah. And as I said earlier on the call, I mean, it’s – don’t want to sort of not mention the fact that – or not reinforce the fact that there has been sort of growth offsetting some of the reduction of business last year. So, it’s not that we’re kind of necessarily losing ground. We’re sort of making up some of the business that clearly was not operating as we liked and we terminated. But that’s always going to be part of the cycle. But the most important priority across the platform is not growth for the sake of growth, but profitability.
Ken Billingsley – Compass Point: Of course. And then on that, the expense ratio was down quarter-over-quarter and, I guess, I would have traditionally expected that if premium is shrinking that potentially the expense ratio could end up rising from a fixed cost basis. Can you kind of discuss like what’s driving the lower expense ratio? Is it temporary or is this kind of based on the new mix of business it may remain a little bit lower than what we’ve seen in prior quarters?
John Marshaleck: Hi, this is John Marshaleck. The expense ratio overall dropped from the 3.1% to 2.9% and part of that is just the increased earned premium for the quarter. So, that’s driving that and as premium base grows and it did in the quarter. So there’s really no change, no drastic change in our expense ratio or expected. It’s been in the 3% range and I think you did see some last quarter, in the fourth quarter, we had a decrease, but that was due to some adjustments there on some of the compensation, incentive compensation. I think there is really no major story there.
Ken Billingsley – Compass Point: But specifically in the Diversified Re segment, it was 27.6% versus 35.6% the prior year. That was – the eight point movement.
John Marshaleck: Yeah.
Ken Billingsley – Compass Point: What’s going on there?
John Marshaleck: Right. That’s really driven by the business mix, Ken. That really is including the commission changes on the business mix that’s following through. As we write more excess of loss business, the commission structure – the commission rates are lower and there are some adjustable commission features that some of our contracts, we talked about that, some of those were adjusted in that quarter. So, from the Diversified Reinsurance segment analysis kind of we look at the combined ratio more than the changes. There’s going to be changes from quarter to quarter in the expense ratio mix sometimes. As you see in this quarter, it was fairly significant.
Ken Billingsley – Compass Point: Sure. So, it’s business mix in there for the Diversified Re segment?
John Marshaleck: Yes, very much so. Yes.
Ken Billingsley – Compass Point: One other, I think this is kind of an off shoot of this. The other income line that you guys report from it’s about $5.2 million that you reported. At least in the past, I believe a lot of the revenues were related to the Diversified Re segment. Is it still true and if this segment is, at least, shrinking right now? Can you give us an idea of what to be looking from a modeling aspect?
John Marshaleck: Yeah. The fee revenue there is generally coming from our International operations and they do – there is a little bit of seasonality to that business. But there’s really no change there. It’s impacted by car sales in Germany actually, so that is impacting that. But there’s no real change, overall, and that business is certainly coming from the same place.
Art Raschbaum: And I would add in terms of the biggest source of the fee business, which is a German distribution channel, in 2012, actually they benefited from higher rates and we expect they’ll benefit from higher rates in 2013 as well. And despite the fact that car sales were moving down, their penetration levels increased. So, they’ve done a pretty darn good job of offsetting a challenging environment. So, we’re cautiously optimistic they can continue the trend through this year. So, in looking at sort of the fee component of it, I wouldn’t necessarily assume big reductions in that revenue this year, and hopefully some increase.
Ken Billingsley – Compass Point: Great. Last question is, at least in my model, premiums written were much higher than expected, but the earned pattern was a little slower. Can you talk about, is there a significant shift in the mix of the business that was added over the last quarter; or two, that might be changing the earned pattern as we look to model out for the rest of 2013?
John Marshaleck: Well, there’s two factors, Ken, that probably impacting that. The first, the written premium growth, I mean, all of it came from the AmTrust segment. So, obviously, that has a different earning pattern than the Diversified segment. Diversified segment, a lot of that business is the excess of loss business. We do book that in beginning of the contract period and a lot of that was 1/1 renewals. And that then earns out through the year. So, that does impact the earning pattern on that as well. So, you really – the best – probably the best way to look at that is to break it out into the two segments. There has been some shift in more excess of loss business in the Diversified segment, so maybe that’s what you’re seeing, that would earn out a little bit slower when you look at the beginning quarter anyway.
Ken Billingsley – Compass Point: Great. I appreciate it. Thanks for taking my questions.
Art Raschbaum: Thanks, Ken.
Operator: Thank you. Our next question in queue is from the line of Bob Farnam of KBW. Your line is open. Please go ahead.
Art Raschbaum: Good morning, Bob.
Bob Farnam – KBW: Good morning. So, just a quick question on the ACAC book. Basically, you mentioned increase in claim costs in prior years and you expect that combined ratio to moderate through the year. Can you just give an idea of how many points of development was in the first quarter?
Art Raschbaum: I think it was about – what was it, John?
John Marshaleck: About three points of development.
Bob Farnam – KBW: Okay. So, the improvement going forward, you’re expecting that combine ratio to get more in line with what it has been in the past?
Art Raschbaum: Well, that’s certainly our desire. I think that the business that is being underwritten today is underwritten within target. It should be within the swing. It’s just a question of whether we see any more sort of adverse – a lot of this relates to some of the growth that they experienced in 2011. And you know they definitely moved effectively I think to sort of focus on improving and strengthening underwriting. So, revenue growth has been largely halted a bit and I think what they’re doing makes a lot of sense, a lot of changes in the claims, infrastructure as well, in the process and I think that will benefit. So, our hope would be that the strengthening in the current underwriting year would begin to reflect improvement for the balance of the year, but we’ll just have to see how that develops.
Bob Farnam – KBW: Okay. And a question with the International business, you mentioned obviously there’s some headwinds with the auto market out there. You’re developing some new programs. Is that getting into different countries? Like maybe just expand more on what these new programs may entail.
Art Raschbaum: Yeah. Some of it involves actually – well, broadly, one of our objectives is to expand to other OEMs, so other manufacturers. As you know, this is kind of very kind of GM-centric, just given our ancestry. So, we are in dialog with other manufacturers to provide the same capabilities and services. On the fee side, we have an operation in the Nordics that was created last year that should generate some productive fee income as well. And we continue to see strong revenue coming out of Russia, again on the fee side, not on the underwriting side. So, from an underwriting perspective, I think, if you look at Germany where we see a positive pricing environment, that should benefit us as well in terms of revenue growth. And we also had a bit of growth at the end of last year in our Credit Life segment. So, all those conspire together and I think give us optimism for this year. The group is actively working to continue to expand the platform.
Bob Farnam – KBW: Okay. Thanks, guys.
Art Raschbaum: You’re welcome. Thank you.
Operator: Thank you. Our next question in queue is from Dan Farrell of Sterne, Agee. Your line is open. Please go ahead.
Art Raschbaum: Good morning, Dan.
Dan Farrell – Sterne, Agee: Hi. Good morning.
Art Raschbaum: Good morning.
Dan Farrell – Sterne, Agee: Just want to ask you a question, one of the comments you made about rate at the primary level ultimately working its way into benefiting the reinsurance line. I was wondering if you could just talk about maybe the lag in that happening. And do you guys wait a little bit longer to validate what you’re seeing in the primary side before you start to take the benefit of rate in your own loss picks?
Art Raschbaum: Yeah. I mean, generally that’s true. Well, a couple of phenomenon. One is that when we price our new business, we look at – even if it’s a renewal, we sort of take a fresh look at what’s happening with the client’s pricing environment, validate it; what’s happening in the lost cost environment; what’s happening with risk selection; what’s happening in terms of their business and – business development strategy and all that gets aggregated to produce sort of a rate. If rate levels increase over the balance of the year that weren’t contemplated, that should have a beneficial effect on our performance over the long term as the business starts to earn out and losses start to sort of mature. We generally don’t take credit for any of that sort of active price reduction activity. We sort of let the accounts develop as they will and we take an actuarial snapshot of those every quarter. And so, there is a lag in terms of our recognition of that and that’s been historically the case. I think it’s – we’re pretty cautious about it. We certainly don’t want to take credit for things until we actually them developing on the lost cost side. But again, if you look at historical patterns in hardening markets, there has been a lag in sort of the favorable performance being recognized sort of through the lost cost numbers.
Dan Farrell – Sterne, Agee: Thanks. That’s helpful. And then, just on the development in the ACAC book. Do you know offhand what years are primarily driving that?
Art Raschbaum: Well, we’ve only been on it since 2010 so…
Dan Farrell – Sterne, Agee: Yeah.
Art Raschbaum: It’s – a lot of it’s the growth in 2011…
Dan Farrell – Sterne, Agee: Okay.
Art Raschbaum: And 2012. Yeah.
Dan Farrell – Sterne, Agee: Okay, great. All right, thanks, guys.
Art Raschbaum: Thank you.
Operator: Thank you. (Operator Instructions). Our next question in queue is from Amit Kumar of Macquarie Capital.
Amit Kumar – Macquarie Capital: My questions have been answered. Thanks.
Operator: Thank you. (Operator Instructions). And I’m showing no further questions in queue. I’d like to turn it back to management for any further comments.
Art Raschbaum: Thanks to everyone for joining us today and we look forward to speaking with you in the future. Have a great day.
Operator: Thank you. Again, thank you ladies and gentlemen for joining today’s conference. You may now disconnect. Have a great day.